Operator: Good day, ladies and gentlemen. Welcome to the Maiden Holdings Second Quarter 2012 Earnings Conference Call. [Operator Instructions] As a reminder, this conference call may be recorded.
 I would now like to turn the conference over to Noah Fields, Vice President, Investor Relations. Sir, you may begin. 
Noah Fields: Good morning, and thank you for joining us today for Maiden's second quarter of 2012 earnings conference call. Presenting on the call today, we have Art Raschbaum, Maiden's Chief Executive Officer; along with John Marshaleck, our Chief Financial Officer. Also in attendance today is Pat Haveron, Executive Vice President.
 Before we begin, I'd like to note that any forward-looking statements on this call are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995,  and these forward-looking statements are based on the company's current expectations and beliefs concerning future development and their potential effects on the company. There can be no assurance that the actual developments will be those anticipated by the company.
 Our actual results may differ materially from those projected as a result of significant risks and uncertainties, including the nonreceipt of expected payments, changes in interest rates, the effect of the performance of the financial markets on investment income and fair value of investments, the impact of competition and pricing, changes in demand for the company's products, the effect of general economic conditions and unusual weather-related activities, adverse state and federal legislations and regulations and the regulatory investigations in the industry practices, developments relating to existing agreements, heightened competition, changes in pricing environment and changes in asset valuations.
 Of course, the company undertakes no obligation to publicly update any forward-looking statements except as may be required by law. Some of our discussions about the company's performance today will include reference to both non-GAAP financial measures and information that reconciles those measures to GAAP, as well as certain operating metrics that may be found in our filings with the SEC and in our news release located on Maiden's Investor Relations website.
 And with that, I will turn the call over to Art. 
Art Raschbaum: Thank you, Noah. Good morning and thanks for joining us. During this morning's presentation, I'll begin with a review of the operating results and then I'll turn the call over to John Marshaleck, our CFO, to provide more detail on the financial results for the quarter, and I'll come back in and conclude with prepared remarks with some of the comments regarding market conditions.
 At Maiden, we continue to benefit from our highly differentiated strategy of delivering stable returns and profitable operating performance by serving the non-catastrophe needs of our regional and specialty insurer clients with solid results for the quarter and for the first half of 2012.
 In the quarter and for the 6 months, we continue to generate profitable underwriting performance, strengthened investment earnings, grew book value per share by 1.7% during the quarter and 7.2% in the first 6 months of the year, and maintained an operating return on equity of 9.9% for the first 6 months.
 Operating income was $19.7 million or $0.27 per diluted share, a solid increase over $11.2 million in the second quarter of 2011. You may recall that last year's second quarter was impacted by frequency of severe weather-related losses in the U.S. And while our second quarter of 2012 operating income is essentially the same as our first quarter operating income, it's important to note that this quarter reflects the additional impact of $2 million of interest expense that's associated with the issuance of our 30-year senior notes in the first quarter. Strengthening investment earnings have helped to offset this incremental cost. Despite a challenging yield environment, we were able to increase our net investment income to over $20 million as we deployed cash into productive investments in the quarter with total investments up nearly 26%, to $2.4 billion, compared to the end of the second quarter last year.
 As we've discussed in the past, we typically experience our largest quarterly premium volume in the first quarter, with subsequent quarters running a bit lower, reflecting some of the seasonality in our business. Similarly, we don't expect to see the same accelerated level of premium growth this year that we experienced in the recent past. You may recall that in 2011, a significant amount of our growth reflected a combination of the impact of our international acquisition late in 2010, the expansion of the AmTrust Quota Share to include hospital liability in 2011 and a full year of ACAC writings.
 The second quarter and first 6 months of 2012 are very much in line with our expectations. Maiden's net written premium for the quarter totaled $412 million. That's down $25 million or 5.7% from the same period in 2011.
 But importantly, last year included the nonrecurring $45.9 million income in unearned premium portfolio that was associated with the AmTrust hospital liability program. Absent that portfolio, our second quarter net written premium actually increased by $20.9 million or 5.4%, which reflects a healthy but more moderate growth rate.
 Through the first 6 months, total net written premium was up $116.3 million from 2011 with total written premium of $1 billion or 13%. If we exclude the nonrecurring unearned premium portfolio from the 6-month comparative, premiums were up 19% or $162 million for the 6 months ended June 30, 2012, in comparison to the first 6 months of last year.
 Looking at the recent written premium by operating segment, in our Diversified segment, which includes our U.S. platform Maiden Re, our international business and our non-interest ACAC Bermuda underwritten business, net written premium was down slightly from the prior year second quarter at $144 million versus $158 million in 2011.
 For the first 6 months of 2012, net written premiums of $432.3 million reflect an increase of 3.7% or $15.4 million. Our U.S. operations generated very strong growth in 2011. And while that pace has moderated some, we continue to see strong deal flow. As we have commented in the first quarter, we have seen a bit more active interest in larger closure transactions from competition. And we've essentially let, what we feel are lower margin opportunities, go. Clearly, our business has to conform to the return requirements necessary for our business.
 Our client retention levels remain over 90%. And as we typically do, we're seeing some growth in individual client relationships. We've seen some reduction in revenue in our International Insurance Services business and other Bermuda underwritten business, that reflects the general weakness in the European economy and the impact that, that has on our auto-centric underwriting performance. The IIS team is currently working on a number of new programs, which should benefit the continuing development of this business. Earned premium for the diversified portfolio is up significant from the prior year, reflecting the strong growth in 2011, which included the International Insurance Services portfolio acquisition and the strong growth at Maiden Re. Net earned premium of $403.6 million grew by $59.1 million or 17% from the first 6 months of 2011.
 Net written premium at our AmTrust segment for the quarter reflects a year-on-year reduction as a result of the nonrecurring unearned premium portfolio transfer that we've already spoken about in the second quarter of 2011. Absent that nonrecurring transaction run rate, net written premium of $195.6 million reflects year-on-year growth of $25.1 million.
 For the 6 months of 2012, net written premium of $421.6 million is up 22.9%, mostly reflecting the strong first quarter 2012 growth. AmTrust is continuing to benefit from the acquisition of its California workers' compensation platform as well as continued rate strengthening of its largest market segments. Net earned premium for the AmTrust segment totaled $167.8 million versus $136.3 million in the second quarter of 2011.
 And for the first 6 months, net earned premium of -- for 2012 totaled $335.7 million versus $250.8 million and reflects the strong growth in 2011, significantly driven by the addition of the Hospital Liability business, as well as the expansion of AmTrust core business.
 And then finally, in our ACAC segment for the quarter, net written premium totaled $72.4 million, up from $62.5 million in 2011. That growth reflects a combination of rate strengthening and selective expansion of the underlying portfolio. Through 6 months, the ACAC net written premium of $148.9 million is up from $126.5 million in the first 6 months of 2011. Earned premium for the quarter was $70.2 million and $136.3 million for the first 6 months of 2012 versus $61.2 million and $119 million in 2011.
 Underwriting performance has improved versus the second quarter of 2011 with a combined ratio of 97.9%. Our results for the quarter remain somewhat above our combined ratio target level of 96%, and we continue to work diligently with our clients to improve profitability and to focus on the areas with the most return potential. I'll provide an overview of pricing a bit later. But briefly, we are seeing indications of price improvements in the primary market across many business lines. However, they have varying degrees and in cases such as primary commercial auto, we are seeing some regional inconsistencies in pricing trends.
 Diversified segment combined ratio improved to 98.6% relative to the second quarter of last year, which was negatively impacted, again, by the high frequency of tornadoes and thunderstorms in the U.S. Results for the Diversified segment were largely impacted by our international insurance services German auto business, which performed at a higher-than-acceptable combined ratio for the quarter. We're working with our partners to implement underwriting and pricing changes, along with changes in the claim process, to bring this business more in line with our return criteria.
 The AmTrust Quota Share segment reflects a combined ratio of 96.5% compared to 97.9% in the second quarter of 2011, essentially meeting our expectations for the segment. The ACAC Quota Share segment had a combined ratio of 96.3% in the first quarter versus 97.1% in the second quarter of 2011.
 We believe that we're well-positioned to benefit from any improved pricing in the broader insurance environment and increased demand. We have made substantial progress in the quarter, investing cash and improving the earnings contribution from investment income despite the challenging investment environment.
 And I'll now turn the call over to John to review second quarter financial results in a bit more detail. John? 
John Marshaleck: Thanks, Art, and good morning. Net operating earnings for the second quarter of 2012 were $19.7 million or $0.27 per diluted share compared with $11.2 million or $0.15 per diluted share in the second quarter of 2011. As a reminder, the second quarter last year was negatively impacted by $9.5 million in losses related to thunderstorms and tornado activity across the U.S., net of the company's quarterly provisions for normalized catastrophe activity.
 Turning now to capital management. At the end of the first quarter of 2012, we issued $100 million of 30-year 8% coupon senior notes to take advantage of excellent market conditions. This additional capital provides Maiden with financial flexibility to participate in continued rate improvements in the near-term. The deal strengthen our balance sheet and we have successfully deployed these funds within our investment portfolio during the second quarter.
 An equally strong feature of our balance sheet is the continuing high levels of operating cash flow our business continues to generate. We had operating cash flow of $95.1 million for the first 3 months -- for the 3 months ended June 30, 2012, which contributed to the $166.4 million in operating cash generated for the -- in the 6 months ended June 30, 2012.
 The combination of strong asset growth, operating cash flow and capital management activities continued to provide significant amounts of cash to be invested -- to be available for investment. And we have worked very diligently during the quarter and first half of 2012 to invest that cash productively and keep our cash and cash equivalents within the range of our targeted levels of approximately $100 million.
 At the same time, our invested assets are providing strong growth. The investment environment remains a challenge for many P&C companies like Maiden, who maintain conservative fixed income investment portfolios. We believe that keeping the duration of the securities relatively short remains a prudent strategy in the current environment as there had been adequate return for the risk associated with extending our aggregate duration meaningfully.
 Nevertheless, we did increase our allocation to investment-grade corporate bonds in the first half of 2012, with 45% of the portfolio now invested in net asset class, up from 38% at December 31, 2011. This modest shift in our allocation has brought our portfolio duration to 3.4 years, from under 3 years at year end, still well below our liability duration of 4.5 years.
 In total, Maiden's new bond purchases during the second quarter of 2012 totaled $248.4 million at the weighted average yield of 4.1% and a duration of 6 years. As of June 30, the average yield on the amortized cost of the fixed-income portfolio, excluding cash, now stands at 3.74%. Of these investments, $205.2 million were in new investment-grade corporate bonds at an average yield of 4.4% and a duration of 6.3 years.
 As a result of the investing activity, total investments increased $372.9 million, up 18.4%, to $2.4 billion from December 31, 2011. In addition, total cash on hand at June 30, 2012, was $143.3 million, down 53% from year-end 2011.
 Net investment income benefited from putting this cash to work long-term, producing $20.1 million in the second quarter, an increase of 8.9% from the first quarter of 2012. Net loss from loss adjustment expenses of 304 -- $300.4 million were up $49.8 million compared to the second quarter of 2011. The loss ratio increased by 0.7% to 68.4% versus the second quarter of 2011.
 The general and administrative expense ratio improved to 3.4% compared to 3.5% in the second quarter of 2011. This ratio is one of the controllable factors contributing to our profitability and puts us among the most efficient reinsurers in the market. Efficiency is very important to our business. In the long run, a lower G&A expense ratio will allow us to generate stronger margins and more competitive pricing.
 The effect of the recently implemented accounting rules issued by the Financial Accounting Standards Board, which limits the capitalization of cost incurred to acquire or renew insurance contracts, was to decrease second quarter 2011 earnings by approximately $0.8 million or $0.01 per diluted share. The impact on the company's combined ratio was an increase of approximately 0.2%.
 Total assets increased 10.5% to $3.8 billion compared to $3.4 billion at the end of 2011. At June 30, 2012, shareholders' equity was $824.3 million and book value per share was $11.41, both up 7.2% compared to 2000 -- or compared to December 31, 2011.
 I'll now turn it back over to Art for some additional comments. 
Art Raschbaum: Thank you, John. Speaking briefly about the market conditions, primary insurance pricing has continued to trend higher across many lines of business and as I mentioned earlier, the degree of improvement can really vary depending on the type of risk, the size of risk and the location. Many of our clients are seeing the most improvement in rate in workers' comp, personal lines and property. Business lines such as commercial, multi-peril and general liability are also benefiting from price increases, although to varying degrees, depending again on location and specifics of the underlying risk. As I mentioned earlier, one area that was below our expectations this quarter has been primarily commercial auto. While we have seen rate increases, they've been inconsistent by geography.
 As a provider of reinsurance, we do adjust the profitability of a specific risk by adding margin or protective features as required by the client's account experience, the operating environment. In a hard market, we expect to see demand for our products grow and we do see some benefit of price increases through our primary insurance clients. However, relative to a more catastrophe-oriented reinsurer, who may see rate increases more immediately following significant losses, the benefits of a hard market to Maiden are a bit less direct.
 At this point in the cycle, it's clear that we're seeing some price improvements. However, the magnitude and breadth to which this will continue remains unclear. But we do believe that ROEs in the P&C space continue to be dampened by sustained low interest rate environment. And ultimately, companies will be forced to continue to raise rates in order to maintain a certain level of profitability.  We see this as the most likely income -- outcome for the foreseeable future.
 Through superior risk selection, our client-oriented lower volatility focus on the non-catastrophe needs of our target market, we'll continue to focus on improving profitability and growing book value for our shareholders. We believe we are well-positioned to strengthen earnings and to grow in a highly disciplined manner in the future.
 That concludes our prepared remarks. And operator, if you could please open the lines for Q&A. 
Operator: [Operator Instructions] The first question is from Randy Binner of FBR. 
Randy Binner: So I guess there's a lot of cover, but on the Diversified segment, the loss ratio is higher than we have forecasted. And I think -- I think I heard in the comments that the European economy might be affecting some of the auto business that you write over there. But was there anything unusual with loss activity in the European book? Or what drove the higher than kind of trend loss ratio there? 
Art Raschbaum: I think for the most part, Randy, it's kind of a physical damage issue that we're seeing in Germany. And we sort of, through the course of our underwriting and our claims audits, identified some increase in frequency. And so we have an action plan that's under implementation, some of that's on the kind of management of the loss cause side, changes in the claim practices, but also underwriting and risk selection and then ultimately, pricing. So it's -- we've seen -- we've talked in the fourth quarter about the sort of some cat-specific activity and our efforts to eliminate that more cat-oriented element of the business. And we have been successful in doing that. This is more of kind of a frequency-driven issue that we think we are focusing on quickly and we should start to see benefit from the actions. But ultimately, we'll keep a very close eye on it and do whatever is necessary. 
Randy Binner: That was -- the issue in the fourth quarter was like the cars were parked in a parking lot, like a dealership, I think. In this case, you're talking -- are you talking about like vehicle -- like individual vehicle accidents being more expensive. And is that following the trend we've seen in the U.S. where there's -- I mean, you're saying it's property damage, it's not bodily injury, so it's just the actual --  like the replacement cost of the vehicle [indiscernible], is that what it is? 
Art Raschbaum: Yes, I think we're just seeing more frequency than we would have anticipated on the physical damage side. We're not seeing a big spike on the casualty side. 
Randy Binner: Okay. So do you have a feel for how those initiatives might kind of kick in? And -- I mean, do you have any kind of update on what kind of loss ratio we should expect there? I mean I think we've tended to try and expect something like a 66 on the loss ratio? 
Art Raschbaum: Yes, I mean obviously, we're running higher than we'd like to. I mean, quarter-to-quarter, we're at about the same combined. And we've always said the combined is probably the most important number because of the varying relationship between CD commission and the premium. But I think, with respect to this portfolio, we're attacking it as quickly as we can. It'll take a little bit of time for some of these things to sort of kick in. Probably the claim practice side of it will have the most immediate effect. But I think pricing actions will probably take a bit more time to make themselves make their way through. On the other hand, the German auto component of our overall portfolio is relatively small. So obviously, there are other components of our business that are performing at target and performing well. 
Randy Binner: Okay. And then I just want to -- as long as we're talking about auto, ACAC had good results for the second quarter in a row. And so I think, thinking back to ACAC in the back half of last year, they were implementing, I think, new data systems and multi-variant pricing and kind of fine tuning their geographic expansion. How much confidence can we take in 2 quarters of good results there? Is this book set up to kind of run like a good auto insurance book? Or is there still potentially more kind of -- a little bit more volatility to come? 
Art Raschbaum: Well, you can never be 100% certain of anything, but we're pretty confident that the actions that they've taken, specifically in markets where that were driving some of the elevated loss, the pricing actions are really the right things to do. There's also been some risk selection changes that they've made. And also, frankly, just strengthening of sort of, as you said, the system and multi-variant pricing capabilities. I think all that bodes well for trend as it stands today. 
Operator: The next question is from Matt Carletti of JMP Securities. 
Matthew Carletti: I just wanted to follow up on Randy's question a little bit on the Diversified Reinsurance loss ratio. Really 2 questions. First is, should I look at that in a more of a 6 months capacity in that -- a part of the higher pick in the quarter is getting the year-to-date to the right level? Or I assume that will be closer to say a 67 maybe or is it a 69.5 kind of, the starting run rate, and then we'll build on some improvement from there? 
Art Raschbaum: Well, I mean -- we're not happy unless we can make progress to getting the combined down to our target level. So -- I mean, I won't try to kind of guess what our next quarter's loss ratios will be, but I will say that we are actively working to improve the performance. And in specific, I mean our U.S. portfolio actually improved quarter-to-quarter. So we did see improvements there and we'll continue to focus on kind of the strengthening the underwriting performance across the platform. I think the German auto issue could affect us a bit going forward, but we'll try to offset that with sort of favorable performance in other segments of the business. 
Matthew Carletti: Okay. And then the expense ratio, same segment was one of the lower ones we've seen in the past, say, 18 months. Is there any sort of direct sliding scale commission arrangements there that have a direct link to when the loss ratio is elevated, there's lower expenses? Or is it just kind of coincidental timing? 
John Marshaleck: Matt, this is John. Yes, there is -- there are a number of contracts with expense adjustment features. And that does have an impact. The business mix certainly -- and you saw that in this quarter, certainly has an impact on both the loss and the expense ratio. So yes, that is happening. And it's something we have built into our contracts going forward as well. 
Art Raschbaum: [indiscernible] that is year to year on AmTrust, we've -- obviously, we've blended expense ratio with the Hospital Liability, the CD commission rate has gone down a bit. 
Matthew Carletti: Okay. And then the -- I guess on AmTrust, looking at the -- the loss ratio there, likewise, was a little -- not a lot, a little higher than trend. I mean, is it -- I know mix can shift kind of quarter-to-quarter. Is that more mix shift related or there's anything else happening there? 
Art Raschbaum: Yes, I'd say it's more mix shift related. I mean, it's sort of meeting our expectations. Once you've seen those -- I think that our loss ratio is generally in line with where we've been probably over the last several quarters, not too far is it, Johnny? 
John Marshaleck: Yes, it is a business mix issue for this quarter, yes. 
Operator: The next question is from Ken Billingsley of BGB Securities. 
Kenneth  Billingsley: One more follow-up on the expense ratio there. I see the total expense ratios for Diversified is down, but there's a shift in kind of where -- I mean, whether it's acquisition or G&A related? But the G&As, I think, kind of pick up? Can you comment maybe what may cause the shift to cause the acquisition expenses to drop? Obviously, maybe a mix of business, but why the G&A side went up? 
John Marshaleck: Yes, during the quarter, we still are seeing some impact from the DAC adjustment in this quarter and that had an impact on the G&A expenses, as we're not capitalizing or not deferring as much. So that had one of the impacts. And then when you compare that certainly to last year, that's a change. And that's something that it works through this year, really, will have an impact on each of the quarters. That's probably the biggest single impact in the G&A expense category. 
Kenneth  Billingsley: Okay. So most of that is just related to the DAC? And then the shift -- I'm sorry, on the investment portfolio, you talked about -- obviously, you've -- told us a little bit more on investment-grade corporate bonds. Is there a dividend focus on that or is it just investment-grade corporate bonds in general? 
John Marshaleck: It's investment-grade corporate bonds in general, and there's no real change in our overall philosophy. We did increase that category slightly over the quarter, but we're sticking with our conservative investment portfolio philosophy and that's really not a change. 
Art Raschbaum: Yes, Ken, there are no equities in the portfolio currently nor do we have any immediate plans to change that mix. 
Kenneth  Billingsley: And a few other companies that's obviously with investment yields being so low for so long now, trying to find opportunities, especially if they feel comfortable with the balance sheet. And so in your case, have you -- have you taken any other opportunistic investment strategies? For example, maybe take a little bit more liquidity risk in some of your investments to try and get a little better yields or any other strategy? 
Art Raschbaum: No, I mean in some of the new purchase that we've made, we've slightly pushed the duration out a little bit but still well below our liability duration. Our general view is that we're using our balance sheet pretty efficiently. We think that one of the abilities to do that comes from maintaining a fairly low risk underwriting and asset portfolio. And so we think that to the extent we bring in alternative investments, that's going to obviously have a fairly significant impact on capital required the support that. And we just frankly think the volatility associated with it doesn't lend itself to our model. We always look but we really don't see anything that makes sense for us. 
Kenneth  Billingsley: Yes, just the last question here. On the pricing side, I believe you said that your customer retention was over 90%, based on information you've received. On an average, with pricing in general, is the average premium up with customers in line with the rate increases that you're seeing? 
Art Raschbaum: Well, it's kind of hard to draw the exact comparison because some of our contracts change structurally from period to period. But in terms of what we see from our average customers, I think that rating movement seems to make about sense. So I think we're talking about something in the, depending on the line of business, 3% to 5% to 6%, that's probably pretty common. 
Kenneth  Billingsley: And it seems like the customers are willing to -- are willing and able to absorb it at least at this stage of the market, at these prices -- 
Art Raschbaum: Well, I'm speaking of their pricing -- I'm speaking of their pricing activity, really. Our pricing remains pretty much, as always, we price every account sort of individually and specifically focusing on loss cost development, the primary company's pricing development, et cetera. And we focus on really the same target, so we really haven't changed our view in terms of how we price and underwrite the business. 
Kenneth  Billingsley: On the -- just on the reserving side, any reserve releases or additions in the quarter? 
John Marshaleck: We had approximately $6 million of that first development in the quarter. But a lot of that -- that doesn't necessarily fall to the bottom line and  it's -- we have adjustable rate provisions at our contracts as we talked about. So when the losses increase, the commissions in certain cases will decrease. So we had some and then net balance, relative to that the -- an amount, relative to our overall portfolio of $1.5 billion, the loss is very minor, certainly within our acceptable range on a quarter-to-quarter basis. So it was a very minor issue. 
Kenneth  Billingsley: And you know my next question I was going to have is, what -- is there any other adjustment that you have? It seems like a number of smaller specialty focused insurers have been taking some reserve increases here. So how much room do you have to make those adjustments? Can you hold -- completely rewrite a policy and get out of it if needed? Or is there just a range of essentially recovery that you can get within so many loss ratio points? 
Art Raschbaum: I'm not sure I totally follow the question. I think -- I guess I would say, when we see sort of weak performance in an account, we try to react quickly to it. We have a quarterly very robust by account reserving process where we analyze performance. And when we get to renewal, we assess the kind of ultimate expected performance of that business. If we see that, that account was underperforming, we'll adjust pricing immediately for the subsequent year. We don't typically let underperforming accounts stay underperforming without taking action. So hopefully, if we're doing our job effectively, we're offsetting quickly the effects of any weak pricing or any sort of unexpected frequency or severity in the underlying business. 
Kenneth  Billingsley: Okay. And then I guess maybe in the case of, ACAC and AmTrust, I believe those are multiyear contracts, correct? 
Art Raschbaum: That's correct. 
Kenneth  Billingsley: And so on Diversified we have -- 
Art Raschbaum: Well, I think in the case of -- AmTrust is a good example. I think in 2011, I guess, it was, we did comment on a business mix change and how it was influencing the business. We worked together with them. We had a shift in the CD commission terms to reflect that changing business mix and how it affected our performance. So to the extent that we see performance issues, I think first and foremost, we want to identify those with our client and work together to find solutions. With respect to AmTrust, ACAC they are meeting kind of our performance targets, so we're not particularly concerned at this point with respect to need for additional rate there. 
Kenneth  Billingsley: Okay. And just a clarification on what John said about the $6 million of adverse development, not all of that will fall to the bottom line. Now during this quarter, does the $6 million impact this quarter, though in the future, you're going to be able to make the adjustments? Or if it's not the case, what was the actual, or near the impact to the bottom line in this quarter? 
John Marshaleck: The $6 million was the impact on the loss ratio portion but not the combined ratio portion. It was somewhat less than that, significantly less than that. So it was not a -- it was a minor issue. 
Kenneth  Billingsley: So that adjustment -- but that adjustment was made during the quarter, it's not going to be some future benefit? 
John Marshaleck: No, no. The adjustments, we do look at these on a quarterly -- contracts that have adjustable figures, we do look at them on a quarterly basis and they move both up and down. That's not unusual to have that type of activity. So you really have to look at that in combination with the adjustment features. And again, that's why we focus on the combined ratio is very critical. And that's what we're targeting from a pricing standpoint. 
Operator: The next question is from Bob Farnam of KBW. 
Robert Farnam: I guess one more question on the reserve development. It's modest but is that -- was that from any particular line of business or lines of business? 
John Marshaleck: No, not really. The auto probably -- the auto line is our biggest single line. So there are some adjustments there. And that's, frankly, from a quarter-to-quarter basis, that's where we do get adjustments, because we do see activity both up and down in a given quarter. And that's probably, from an adjustable-rate commission standpoint, is the most -- has the most volatility in it. But not anything in -- nothing stands out, from an overall standpoint, was my adjustments within a number of contracts. 
Robert Farnam: In loose terms, what's your premium breakdown these days, U.S. versus international? 
John Marshaleck: The international piece of the business, well there's some business from AmTrust international as well as our international operation in Europe. And I believe it's in the 10% range, a little -- maybe it's slightly less than that. 
Robert Farnam: Okay. And do you see more growth potential internationally or in the U.S. these days? 
Art Raschbaum: I think we have opportunities in both areas but obviously, we're still very optimistic about the international opportunities. We are actually actively seeking additional resources in Europe to begin to kind of roll out our kind of made in the U.S. model into Europe. Well, Solvency II tends to be delayed further and further, we still believe that the operating environment is such where there's an opportunity for us to add value to some of those clients. But the U.S., I wouldn't say, is at all, in a stagnant mode. I think there's a lot of opportunity, a lot of deal flow. We do think that our target market continues to selectively require capital support and assistance through ceded reinsurance. And so we see growth opportunities there as well. In the last 12 months, absent the acquisition of the international platform, really, a lot of our growth came out of the U.S. portfolio. And so while it's muted a bit this year, we still see significant opportunities in North America as well over time. 
Operator: And the final question is from Randy Binner of FBR. 
Randy Binner: I just wanted to clean something up. And so I guess in the kind of the topic is investment income. What is the -- what was your -- and if you've covered this I apologize, but did you cover the new money yield versus your runoff yield on your book? 
John Marshaleck: Yes. The new money yield on the invested assets during the quarter was 4.1%, which is moving above our current portfolio. 
Randy Binner: Okay. So you're running off at like 4? 
John Marshaleck: The percentage on amortized cost is 3.74% for the whole portfolio. So that's what's running basically. 
Randy Binner: And then kind of, I guess, a dumb question, but the cash flow of $95 million in the second quarter, I mean, how much -- it looked like a decent amount of the cash on the first quarter went right into the portfolio. But is there -- I mean, is there any call against that cash? Or is most of that going into the portfolio? 
John Marshaleck: It goes into the portfolio. 
Randy Binner: And you had planned on being able -- if we look ahead of the quarter, I mean you think you can stay under $100 million in your cash balance, until you get all that money to work? 
John Marshaleck: Yes, we are slightly above that at June 30, but our goal is to get back to around $100 million. 
Art Raschbaum: Yes, I guess just reinforcing John's point, clearly, we want to put cash to work quickly. On the other hand, we have found periods of time over the last year where the opportunities have just been a lot scarcer. I mean, we've been very fortunate, a lot of hard work on the part of the investment management over the last quarter, but it's our objective to get it invested as quickly as we can. 
Randy Binner: Yes, no, that's been an huge challenge for lots of insurance companies, is getting the money to work. Yes, that's a problem. And then just a number of question, do you have an updated stat surplus number outside of the total capital number in the press release? 
John Marshaleck: We don't have that. I think it's about $1.1 billion or $1.2 billion in stat. 
Randy Binner: Okay, $1.20 billion. Got it. Thanks so much. 
Art Raschbaum: Thank you. 
Operator: Thank you. There are no further questions at this time. I'll turn the call back over to management for closing remarks. 
Art Raschbaum: Thank you, all, for joining us today. We will check to you soon. Thanks. 
Operator: Ladies and gentlemen, this concludes today's program. You may now disconnect. Good day.